Operator: Good morning ladies and gentlemen and welcome to the Aceto Corporation Fiscal 2009 Second Quarter Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. This conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements are based on current expectations, estimates and projections of management. Aceto intends for these forward-looking statements to be covered by the Safe Harbor provisions for forward-looking statements. Words such as anticipates, expects, intends, plans, believes, seeks, estimates, or variations of such words are intended to identify such forward-looking statements. The forward-looking statements contained in this conference call include but are not limited to statements regarding the company's strategic initiatives, including selling of finished dosage from generic drugs, providing vaccines for companion animals, selling into the Japanese pharmaceutical market, selling Halosulfuron in the 2009 growing season and statements regarding the prospects for long-term growth. All forward-looking statements are made as of the date of this conference call and Aceto assumes no obligation to update them other than as required by law. Risks that could cause actual results to differ materially from those set forth or implied by any forward-looking statements can be found in Aceto's filings with the Securities and Exchange Commission which are available at www.sec.gov. I will now turn the call over to Mr. Ted Ayvas, Director of Investor Relations and Corporate Communications, Mr. Ayvas you may begin.
Ted Ayvas: Thank you good morning and welcome to Aceto Corporation's fiscal 2009 second quarter conference call and audio webcast. With me today is Leonard Schwartz, our Chairman and CEO, Vincent Miata our President, Douglas Roth our Chief Financial Officer and Hank Gracin of Lehman & Ellen our outside Securities Counsel. During this call Doug will give you an overview of the company's results for the fiscal second quarter ended December 31, 2008. Vince will discuss the performance of our business segment and Len will provide an update on our strategic initiatives for growth. Following that we will open the call up for questions. Now I’d like to turn the call over to Doug Roth. Doug?
Doug Roth: Thank you and good morning, everyone. The sales for the quarter decreased 4% to $74 million, compared to $77 million in the comparable 2008 quarter. Gross profit decreased 6% to $12 million from $13 million in the year ago quarter. Operating income also decreased by 24% to $1.3 million from $1.7 million in the fiscal 2008 quarter. Net income increased 20% to $1.1 million, compared to $900,000 in the 2008 comparable quarter. Earnings per diluted share were $0.04 in this fiscal second quarter, which are flat from the $0.04 per diluted share that we reported in the fiscal 2008 second quarter. Now I'd like to turn the call over to Vince Miata to discuss the performance of our three business segments.
Vince Miata: Thanks, Doug, and good morning to everyone. Looking at our business segments, sales in our Health Sciences segment declined 2% in the 2008 comparable quarter, largely the result of the decline in sales of pharmaceutical intermediate. Sales in our Chemicals & Colorants business segment declined 6%, compared to the 2008 comparable quarter, largely the result of declines in the sales of pigment intermediates, aroma chemicals and international sales. These declines were partially offset by an increase in sales into the surface coatings industry. Sales in our Crop Protection segment decreased 5% from the 2008 comparable quarter, largely the result of decreased sales of our sprout inhibitor products, which is largely dependent on the size of the potato crop harvest. I would now like to turn the call over to Len Schwartz to provide you an update on our strategic initiatives for growth.
Len Schwartz: Thanks Vince, and good morning everyone. Before I update you on our strategic initiatives growth, I would like to take a minute to discussing action that we are taking to better deal with the current global economic conditions. As you can see our second quarter results were impacted by the very difficult economic environment that we have been operating which has affected almost all the chemical producing and consuming industries. In the latter part of 2008, it became evident to us that the economic environment in which we are operating was only going to get more challenging, the whole world did that not only us. Since we have been committed to enhancing the sustainable growth of Aceto, we made a conscious decision to try and better understand the future dynamics of the various markets and business segments that Aceto participates in. In order to do this, we made a decision to go back in time and study some history to get a better understanding as to how successful companies operated during the Great Depression. We found that successful companies during that period of time had similar characteristics; well, little or no debt, strong positive cash flows, maintained strong brands, supported their brands by advertising, and provided the best value to the customer in the most cost-effective manner. As a result of this research and our commitment to enhancing long-term, sustainable growth of the Company, we have decided to take what we consider a very unique action and create a definable industrial brand for Aceto. An industrial brand is very unique and is usually only utilized by very large companies. What is more unique in our situation is that Aceto being solely a distribution company. We are not aware of any other distribution company that has ever created industrial brand and it is a very, very vital, we believe this is very unique action. Our brand which we intend to promote for us a range our business segments and geographical areas is enabling quality worldwide which truly represents one of the Aceto's core functionality. Our very unique ability to drive quality products from the most cost effective global sources that meet the needs of our customers to, the global chemical, pharmaceutical and agricultural industries. Now, I would like to provide you the brief update on our strategic initiatives of growth. Our initiative to provide vaccines for companion animals continues to move forward. The field safety testing which we believe is a final major step in the approval process is progressing. We remained confident that this field safety test would be successful, but please do not forget that this is a regulatory view and while we are doing everything we can do expertise the process there can be no assurance given as to any approval process will be 100% completed. Looking at our initiatives to enter the Japanese pharmaceutical market, we continue to encouraged by our early successes in Japan where we have already received and delivered three orders and are currently enhancing our resources after continuing moving forward into the marketplace. And particularly, to pursue business opportunities for the large number of sample requests that we have received. We believe that our activities in Japan will be aided by the Japanese pharmaceutical companies to reduce cost. With respect to our initiative to distribute finished dosage for generic drugs, all our Medicare, Medicaid and private insurance reimbursement issues which you heard from me many times before have been resolved effective February 1 and all systems are now in place to lawfully sell our product. Our first product Odansetron is all the way throughout United States. Once the product is received we will commence our marketing activities which means getting orders. Market activities in Aceto means getting orders. In addition, we are continuing our efforts to enhance and resolve our pipeline of products for finished dosage form generic drugs. In summary we are creating a pharmaceutical company, Aceto Pharma Corporation is formed two years ago, Dough.
Doug Roth: Yes
Len Schwartz: It took all this time to actually create a new pharmaceutical company that’s licensed to sell finished dosage forms pharmaceuticals in the United States. We believe this is a success story for Aceto, although the result of that we are quite confident (inaudible). We actually created a new pharmaceutical company. For the past several quarters, we will be discussing the fact that we have several new products in that crop protection pipeline that were in various states reviewed by the EPA. I am pleased to announce that we received our EPA registration which in common language is a license to sell for the first of these current products we are working on. As you may know we already launched Asulam and one other small product before, but this is the current range of products and we have a pipeline but we added to the pipeline takeaway but this is our current pipeline. Halosulfuron is a product. It’s a herbicide used to control sedge on rice, vegetables and turf and ornamental grasses. Let me define, three markets major market in terms of volume is rice. Second largest market is certain vegetables, and third market is turf and ornamental grass. In other words it’s ornament. Sedge is a tri if anybody out there knows that one, sedge is a triangle weed and that's what sedge is. So this is a herbicide that selling expenses and they actually services three different market rates but does the same job as control sedge. We will begin selling Halosulfuron in the upcoming 2009 growing season which is starting just about now. We also have three additional crop protection products which we already filed with the EPA. We will not disclose this we will disclose demand to the product when we get the approvals from them which we want to define timeline. The EPAs rules require that subject to they are not asking more questions about your application that they require, actually they grant the label, lesser objections for label. The license to sale within seven months. Those are the rules and they stick to it. We got the Halosulfuron six months and 15 days well within the seven months here. So we are quite confident about these new loopholes. In addition to these products, we are working on another product, but we have really a very-very robust pipeline now. With respect to the opening of the representative office in Vietnam, we have had some indications from the Vietnam government that our application to open the new office will be approved shortly and will be executing that in a not too distant future. We ended the second quarter with working capital of $131 million. No long-term bank debt and shareholders' equity of $140 million. With our core businesses serving our foundation growth, this level of capital enables us significant financial strength to move forward. Obviously we remain optimistic about the company's long-term business prospects, our core business, although, were operating in a highly difficult economic conditions. Our core businesses managed and run properly will continue to serve a solid foundation for future growth and we must contain our cost, which we are attempting to do, but we are trying very hard to not let this worldwide economic situation negatively impact, it can bring sustainable long-term growth for Aceto. We got to maintain our core business as best we can, working out strategic initiatives and looking at more things as they come down the road. And the areas we are working on principally are pharmaceuticals and crop protection. Now having said that questions please.
Operator: (Operator Instructions). Our first question comes from Daniel Rizzo from Sidoti & Company. Please go ahead.
Daniel Rizzo - Sidoti & Company: Hi, guys.
Len Schwartz: Hi, Dan.
Daniel Rizzo - Sidoti & Company: First with the health sciences business, that was down a little bit. Are you seeing customers reduce inventory, is that why it was a little loss?
Len Schwartz: I think Dough, maybe do you want to care a comments, some of our it was mostly pharmaceutical intermediates to begin with. And some of the large pharmaceutical companies delayed production runs. It was really a timing issue not that business is going to be down. We expect to pick up that business in this quarter. But it was large pharma that was just delaying, but not delaying but just pushing back. I will even call them delayed, pushing back production reschedule.
Daniel Rizzo - Sidoti & Company: What are you seeing at that end then? 
Len Schwartz: The products that were delayed a little bit, they have given us definitive delivery schedule.
Daniel Rizzo - Sidoti & Company: Okay, good. The cash is doing a little bit, you are planning on spending a lot of cash just on marketing to different, just for different strategic initiatives particularly the herbicides and then from generics?.
Len Schwartz: The activities of our cash we defined them before that we indicated that we have to spend up to $13 million.
Doug Roth: Dan, we define as capital investment for these new crop protection products, that has not changed and we did not really spend any of that money in this current quarter. So that will come in the future, Dan.
Daniel Rizzo - Sidoti & Company: Okay, so you said $13 million.
Doug Roth: Yeah that’s what we said before.
Len Schwartz: That’s the maximum.
Doug Roth: That’s for the "capital investment" in this new crop protection products which is fundamentally was called data compensation and cash force.
Daniel Rizzo - Sidoti & Company: Okay. And on crop protection do you have a timeline when you expect EPA license on them the other three crop protection chemicals?
Len Schwartz: I can tell you that the EPA’s rules require that they grant the license within seven months, the license, the label, we understand that, the label equals license itself within seven months. Okay, unless there is something on, now we have already had three products were we filed labels for, we got new approvals in seven months. So, our success record is good. We look at all the issues, the issues are largely technical issues, because our resources in China and our resources here of course we able to overcome those issues. So all the three products that we been granted were within the timeline. We expect that will be the case for the additional three products. So, today is February whatever at the outside we are not going to say when these are going to be granted. But at the outside you could look at seven months from today because you made a statement that we have already filed the labels.
Daniel Rizzo - Sidoti & Company: Okay.
Len Schwartz: Five total labels.
Daniel Rizzo - Sidoti & Company: Okay. And finally you got the Medicare, Medicaid reimbursement approval, do you have to do that each drug or is that just like a universal thing?
Len Schwartz: No, its like drivers license.
Daniel Rizzo - Sidoti & Company: Okay.
Len Schwartz: We can drive at (inaudible).
Daniel Rizzo - Sidoti & Company: Okay, well thanks guys.
Doug Roth: Thank you.
Len Schwartz: Thanks.
Operator: Our next question comes from Eugene Fox from Cardinal Capital Management. Please go ahead.
Eugene Fox - Cardinal Capital Management: Gentlemen, I got several question. I will ask few and then get back. To the point that you made earlier as some of these large pharma orders, can you give us any idea of order of magnitude, several million, several 100,000 so we have some idea. 
Doug Roth: That’s a 100,000 total.
Vince Miata: It's a couple of million Eugene in total domestically and foreign, their LSA production campaigns were pushed out of it.
Len Schwartz: These were not related to Aceto’s Pharmaceutical developments if you will. These were related to supplying raw material to big pharma and they are just all ahead at the same time. One here or two here?
Doug Roth: There is a few million. Absolutely, so what you see then Eugene, as a byproduct is that is our inventories are little higher then we would have expected and our sales got dinged a little bit too, so we quoted on two ends there.
Len Schwartz: But I just like to reiterate this is not related to Aceto’s Pharmaceutical development activity. This is related because we are supplying on going campaigns to big pharma.
Eugene Fox - Cardinal Capital Management: So, I guess the point is it can be measured and it's at least the couple of million dollars in terms of sales they got pushed out.
Len Schwartz: Yes, at least.
Eugene Fox - Cardinal Capital Management: Okay, second as it relates to FX, how did FX impact your results in the quarter, year-over- year?
Doug Roth: Okay, that’s a good question Eugene. As you know, our primary market here is the United States but our second largest market is Europe and principally, Germany then France and the Netherlands.  So, when we do business in Europe, we convert the European, the euros to US dollars, okay? So, right now for the six months, the six month activity is about the same. The euro blend for the income statement purposes was 141 last year. It's about the same this year. That will change though when the nine months come around this next quarter and probably the following quarter. Because, last year the euro was continuing to get stronger, and now the euro seems to be deteriorating and the dollar is getting stronger. So, when you convert euros to dollars, you're going to see that in the coming quarters, a reduction if you will, if revenues and profits vis-à-vis last year.
Eugene Fox - Cardinal Capital Management: Okay. As it relates to the two new products that you mentioned, the pharmaceutical product Odansetron, I guess in doing a little work on the Internet it appeared to be in excess of $1 billion market. Do you have any sort of anything you can add in terms of the pharmaceutical market?
Len Schwartz: As a matter of fact, to reduce.
Eugene Fox - Cardinal Capital Management: Okay.
Len Schwartz: Okay. Let's understand Odansetron. Odansetron was in fact new product called Zofran The principal use of Odansetron. We only use it as an anti-nausea drug, to prevent nausea. When it was founded it was a very, very expensive. The therapy was about $900 a month and it was solely being used, almost solely being used for anti-cancer, for chemotherapy, where you have nausea as a big side effect. Because of that, the insurance companies were very, very reluctant to allow it, but they had to when anti-cancer patient. What happened then, and it went off patent about two years ago. What happen then, it became generic, the dose form price dropped 95%, which is sort of typical generic these days. So you would have expected the market to drop 95% was the $1.2 billion, did you say $1.2 billion?
Eugene Fox - Cardinal Capital Management: Yes.
Len Schwartz: That was $1.2 billion in 2006, right? So you would have expect the market to drop down to $50 million thereabout, the market price has actually dropped by 97%, all right? But what happened is, in a reverse effect, because the price is not high, the doctors knowing that the insurance companies will allow, because they give you a hard time for drugs you don't need, if you will, have expanded in the market dramatically. So the market in 2008, we just got these numbers year-to-date were $227 million in sales, so that's down from the peak from $1.2 billion, but the actual selling price, the wholesale selling price of the dose form was down in excess of 95%. So the market expanded dramatically, because the doctors are prescribing for pregnancy nausea and other conditions like that. So now, generally what happens, when a product goes from patent to generic, the price collapses, in this case, it did. But then you have a very stable market. Our supplier is a very good supplier, our supplier is making their own API. So we believe, we are as cost competitive as anybody, and we intend to market his product very, very aggressively recognizing there is a lot of competition out there and that, Aceto Pharma Corp., is a new player in the generic drug business. Make no mistake about that. We have challenges forward, but we believe we will be successful with some significant result.
Eugene Fox - Cardinal Capital Management: In terms of your competitive advantage in selling it, Len, do you believe you actually have a cost advantage, relative to your competition because of your sourcing?
Len Schwartz: Well, we have two cost events. Our cost first cost event is that our supplier, do we have to disclose what that is?
Doug Roth: We will disclose it. I don't know, I'm not sure whether we can disclose that, probably we will do it but we are not going to disclosure now.
Len Schwartz: Our supplier makes their an API, most generic companies even in India do not make their own API. So they have a cost advantage for we have we, they have us, and that result is our selling price, we revise and now make a profit and selling the market gives a cost advantage. The second advantage, it's our understanding that the generic pharmaceutical companies work on no less than a 15% gross margin, all right. They have much bigger overheads than we do. So we are prepared to really go out there and be aggressive in the marketplace. Is that the answer?
Eugene Fox - Cardinal Capital Management: Yes, that is I have others but let me get back in queue, thanks Len.
Len Schwartz: You have any questions will do.
Operator: Our next question comes from David Jordan from Axiom. Please go ahead.
David Jordan - Axiom Capital Management: Hi, Len and everybody, good morning, congratulations on these are very tough time as whole world is upside down. But can you just, I understand what you are doing and your efforts in the finished dosage form business and the agricultural business, okay? Since you are a becoming a generic company, can you talk generically? I wish you would talk generically in terms of just as inside before my father died you said to go hope to live and live to hope. So using that premise hoping to live and lived to hope. Can you give us an idea for not 2009 perhaps 2010 what is the location the best case of incremental revenues from the finished dosage form business and the agricultural business. So I just want to get and I know these are not to be relied upon whatever caveats you delivered in the Safe Harbor statements are intact, I just want to know, I know what your sales basis right now, I know what you are doing. And I want to know is to these two areas of the finished dosage form business and the agricultural licenses which you expect to have intact to the next 12 to 24 months. Are these two businesses and its right for the Japanese we are just talking about these two businesses. Are these two businesses something that could generate an additional and saw it from the bank scene, are these two businesses something that can generate upwards of incremental revenues to $25 million to $50 million in the area between 2010 and 2011 on the calendar year basis?
Len Schwartz: Well, these are tough questions. We are not --
David Jordan - Axiom Capital Management: Well I am not going to ask easy, easy ones you don’t need Len.
Len Schwartz: No, I understand that. I understand that. All I can tell you is that the product which offering, you can know what the market is because we just cause what it is, it's somewhere $10 million plus market. Okay?
David Jordan - Axiom Capital Management: It's the total market.
Len Schwartz: Oh yes, Halosulfuron.
David Jordan - Axiom Capital Management: And you are getting at a portion of that?
Len Schwartz: We can get a portion, $10 million plus. Alright, and it's probably $15 million.
David Jordan - Axiom Capital Management: Okay, so --
Len Schwartz: Now, let me go further. The other products that we are looking at two of them, one of them is fairly small one of them is $10 million plus market and the other one is $25 million plus market, okay? We expect borrowing any unforeseen technical problems that we can resolve when we have needs and we believe we solved everything. We expect to be in those businesses within the next 12 months.
David Jordan - Axiom Capital Management: Do you --
Len Schwartz: Because we get the EPA label and license to sell. We have got the supply line.
David Jordan - Axiom Capital Management: What percentage of the market do you expect to get?
Len Schwartz: We want to find out for anything we look at, we look at for at least 10%. Okay, at least 10%, but 10% could be --
David Jordan - Axiom Capital Management: Okay, so that a $15 million potential market exclusive of any new products you are going to identify and further pursue in the next 24 months, correct?
Len Schwartz: Any new product listen we are going to be fully committed with our agro business.
David Jordan - Axiom Capital Management: But whatever I said was right?
Len Schwartz: The combined marketplace, in addition to Halosulfuron, the combined marketplace for those three products, is in access of $50 million.
David Jordan - Axiom Capital Management: Great so aside from that you expect to pursue other products with equal or greater or sometimes less, we can get more of the market share so there will be something incremental to that number?
Len Schwartz: Well I don’t want to be negative but I got to tell you that we had a very robust pipeline for Crop Protection products and we are looking at some other things but we are going to be fully engaged with these four products for the next 12 months. There is no way we are going to lab factor is one product we were looking at in our pipeline where the market shrunk and it didn’t fit our investment criteria. So we deleted it, almost certainly deleted from our activities. In the Pharma business, we believe we have significant competitive advantages against a lot of companies, generic companies. Number one, much, much let’s hope it, look at the SG&A of the generic pharmaceutical companies. I had to see those assets.
David Jordan - Axiom Capital Management: Could you give us the same template or do you just use?
Len Schwartz: I can't. All I can do is, we will not disclose, we are looking at a number of other products and because we disclosed the agro, the Crop Protection products because we filed with the EPA.
David Jordan - Axiom Capital Management: But I'm not asking for names, Leonard.
Len Schwartz: Okay I understand that.
David Jordan - Axiom Capital Management: I'm asking you for market, so, it’s like you gave me $50 million in the other market, what is the market size for the finished dosage form business. Adding would you agree, you got to pursue products which have a $150 million market which you hope to get 10% of?
Len Schwartz: We're not pursuing any marketplace, any product that has less than $50 million market.
David Jordan - Axiom Capital Management: It’s $15 million.
Len Schwartz: 5 0, 50
David Jordan - Axiom Capital Management: 50 and you hope to get a 10% to 20% market share in that
Len Schwartz: It depends upon to comply the national market initially 10% is aggressive. We are working, we are very newly generic pharmaceutical.
David Jordan - Axiom Capital Management: Okay. I don't want you to get paranoid, how many of these $50 million products are there?
Len Schwartz:  We can't say but is multiple product we are offering.
David Jordan - Axiom Capital Management: But I don’t think why you can't say.
Len Schwartz: We can't say, please we do not want to raise expectations. Listen we started this; we decided to go into the finished dosage form business three years ago. We started to look for products. We did a lot of work. We performed the Aceto Pharma. We had a huge range if you recall on our presentations we had 15 things we had to accomplish. We accomplished all that. We are walking before we run. We do not want to raise expectations all I can tell you is what we have now. We have license as a lawful right to sell Odansetron which is a $228 market. In 2008 those published statistics that's why we are pulling them. We believe our competitive advantage is our Indian supplier makes their own API is a high quality company absolutely and secondarily Aceto's SG&A is much lower than the generic pharmaceutical industry. How much business that will result in we don’t know, but all I can tell you is we are going to be as aggressive as hell.
David Jordan - Axiom Capital Management:  Okay. Thank you.
Len Schwartz: You are welcome.
Operator: Our next question comes from [Kevin McCanine from Main Line Capital]. Please go ahead.
Len Schwartz: Hi, Kevin.
Kevin McCanine - Main Line Capital: Hi, how are you, Leonard?
Len Schwartz: I am good.
Kevin McCanine - Main Line Capital: Lot of the questions were previously answered but I guess I will ask one, I think I might have touched it on earlier call. How are you going to account for your detailing activities is that going to be handled in house where you use an outside firm as an consultant?
Len Schwartz: We are not detailing. Detailing is new drugs, we are selling. Detailing is entertaining doctors, all right.
Kevin McCanine - Main Line Capital: May be is terminology then, pardon me for not using the right term I guess. How are you going to handle the sales of your new product?
Len Schwartz: We have already created and have [implemented] in-house capability to do that with existing SG&A.
Kevin McCanine - Main Line Capital: So that's all the numbers already.
Len Schwartz: It's all there. We have been doing this for two years.
Kevin McCanine - Main Line Capital: Excellent. Okay, thank you.
Len Schwartz: You're welcome.
Operator: And our next question comes from Eugene Fox from Cardinal Capital Management. Please go ahead.
Len Schwartz: Hi Eugene.
Eugene Fox - Cardinal Capital Management: Thanks Len. Now that we have the finished form dosage business in place and we have a product. I know that on earlier calls and at earlier times, it sounded like you had a number of other products which you had identified and done some work on. Help us understand what the obstacles are and what the thought process is to add incremental products now that you have the infrastructure largely in place.
Len Schwartz : The issue is finding quality suppliers, I rely upon with our regulatory mechanisms overseeing them who have ANDAs and are competitive. And that translates down to 90% India maybe 95% India. And if you recall, when Vince was promoted to President we also created a new position Executive Vice President. Frank DeBenedittis, who runs our US Pharmaceutical business, he also assumed the role of the Executive Vice President and Director of Global Pharmaceutical Strategy. He was in India last week with some senior technical people, visiting a number of factories, we are going full speed ahead. We are finding Indian companies who have ANDAs and are not selling in the US and we would like to, because if you go back some years the generic pharmaceutical companies try to tie up the Indians, the Indians created ANDAs, the market went to hell in 2003, 2004 prices dropped and it didn’t work. There are significant numbers of ANDAs in India from significant producers and that's what we are doing. That’s our game plan principle.
Eugene Fox - Cardinal Capital Management: So do you have to sign contracts with them? So the ANDA basically gives them essentially to the license to allow you to sell their products into the US, just trying to understand, you said you have to basically sign them up and get comfortable that the quality and everything you need so that you are comfortable selling it in the US is in place.
Len Schwartz : The ANDA is the authority of the Hatch Waxman of 1984 to create the generic drug. So an ANDA is a license to sell. And obviously it's subject to lots of terms and conditions. But its really the other way, there are lot of Indian companies who want to sell in the U.S. they can’t. Not the big guys, Reddy’s, Ranbaxy, Glenmark, Aurobindo, Cipla, they have their own operations in here. But there’s a number that is probably 20 or 25 mid-sized Indian pharmaceutical companies who would love to sell in the US, but they just can’t do when we did. We are a US company, you probably saw one on our previous slide where we had 15 things we had to do to become to do what we did. Not the leases getting insurance which we have in place. So, we will have in place by delivering. So, that's not an issue, we done all this, okay. So, the pressure is on the other side. We have a number of products we are looking at on a serious-serious basis. But we want to make sure it's on the quality supplier. And that’s why we are involved in a lot of technical effort. And this technical effort is global technical effort. We are not only doing this in the US we do it in Europe too, even though the rules in Europe are different.
Eugene Fox - Cardinal Capital Management: So, it sounds from your comments when it's really that you are comfortable that the quality and the process is in place. Assuming all of the equal there how do you differentiate between which products that you want to sell on those that you don't.
Len Schwartz : First of all, as a rule, we are not going to go feed in products that our API customers are in, that’s number one. (Inaudible). Number two, HR expertise we have to look at the marketplace, we have to look at the marketplace, are there three market participants or are there 20, you look at (inaudible) philosophy and one generic. When the product came off-time there were 20 plus and ANDA's granted and the price went and nobody is making any money. That’s our expertise, picking a right product, picking the right market. Generally speaking we are working on products that’s have been all patent for a couple of years, a year or two just like the Odansetron. Looking to products that are all patented in the couple of years and because the prices have gone down to a stable, we are looking at the therapeutic use of the product. We are looking into supply market, we are looking at the customer markets and then we are looking to the pricing, can we make any money that’s the first thing. We have to be able to make any money. This just the Odansetron we sold, the wholesale price is $900 for a months therapy, $30 a dose that was one a day dose, now that the wholesale price of the pills are around $3. So down 90% in some cases both. So, we really have to look at a wide range of things about their expertise, we can't complete with our customers. We have to look at the businesses of the products on an individual basis that provide a viable business proposition and then we have those customers that want to buy it.
Eugene Fox - Cardinal Capital Management: Last question as it relates to that. What sort of financial requirement do have, Len, in terms of either return on sales or return on investment. It is necessary for you to decide you have got its financially acceptable for you to market the product?
Len Schwartz : If financially acceptable, excuse me, what the market product?
Eugene Fox - Cardinal Capital Management: What sort of financial hurdles do have in place relative to return on sales or return on investment that you have in terms of this business in order to say, are we going to earn the acceptable financial return?
Len Schwartz : Okay. First of all, we are not making any investment other than normal operating activity in SG&A. Right Dough?
Doug Roth: Right.
Len Schwartz : You heard that from the CFO.
Eugene Fox - Cardinal Capital Management: Okay.
Len Schwartz : In terms of we don’t know. For example, just suppose that we are looking for margins in the 15% to 20% range, we are looking for, okay, which is our typical pharmaceutical margin. But what we can do, we can go to a pharmaceutical beverage manager, who wants to buy, again, this is all theoretical, wants to buy $5 million of one drug and we will be happy to be work on 7%, no problem at all, because all of the gross margin, all of the profit is incremental. Our SG&A is covered. We have 28 full time regulatory people worldwide. We don’t need any more, and we are doing it with what we have. And we have done it ourselves, without consultants.
Eugene Fox - Cardinal Capital Management: So, the point is return on sales is inherently as important as sort of gross margin dollars, because you are essentially already leveraging infrastructure that you have in place.
Len Schwartz : Yes. 
Eugene Fox - Cardinal Capital Management: Okay. I will get back in queue. Thanks gentlemen.
Len Schwartz : Thank you.
Operator: (Operator Instructions). And at this time, I show no questions.
Len Schwartz : We are done? Thank you very much. Ladies and gentlemen, [I assume there are some ladies on the call]. We appreciate your interest in Aceto, and you can be sure that we are going to continue to do our very best, notwithstanding the economic situation in the world but even our chemical business we believe there is some significant potential to keep doing some good business. Thank you very much, and you will see our results as they come along.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may all disconnect.